Operator: Good day! And welcome to the Legacy Education Third Quarter Fiscal 2025 Earnings Conference Call. Today's call is being recorded and broadcast live. It will also be archived on the Legacy Education website for future reference. To kick off the call, I will turn it over to Nicole Joseph, Senior Vice President of Legacy Education.
Nicole Joseph : Thank you, and hello everyone. Legacy Education has issued a news release reporting its financial results and corporate developments for the third quarter and nine months ended March 31, 2025. The release is available in the Investor Relations section of our corporate website at Legacyed.com. With us today on the call are LeeAnn Rohmann, Chief Executive Officer; and Brandon Pope, Chief Financial Officer. On today's earnings call, statements made by Legacy's management regarding the company's business, which are not historical facts, may be forward-looking statements as identified in Federal Securities laws. The words may, will, expect, believe, anticipate, project, plan, intend, estimate, and continue, as well as similar expressions are intended to identify forward-looking statements. Forward-looking statements should not be read as a guarantee of future performance. The company cautions you that these statements reflect current expectations about the company's future performance or events, and are subject to a number of uncertainties, risks, and other influences, many of which are beyond the company's control that may influence the accuracy of the statements and projection upon which the statements are based. Factors that may affect the company's results include, but are not limited to, the risks and uncertainties discussed in the Risk Factor section of the Annual Report on Form 10-K and the Quarterly Report on Form 10-Q, filed with the Securities and Exchange Commission. Forward-looking statements are based on the information available at the time those statements are made, and management's good faith belief, as of the time, with respect to future events. All forward-looking statements are qualified in their entirety by this cautionary statement and Legacy undertakes no obligation to publicly revise or update any forward-looking statements, whether as a result of new information, future events, or otherwise after the date thereof. I will now hand the call over to LeeAnn Rohmann, CEO of Legacy Education. LeeAnn, to you.
LeeAnn Rohmann: Thank you, Nicole, and good afternoon everyone. I'm thrilled to welcome you to the Legacy Education third quarter fiscal 2025 earnings call. Joining me today is Brandon Pope, our Chief Financial Officer. We've had an outstanding quarter. I'm particularly proud to note that we've achieved double-digit revenue growth for 11 consecutive quarters. And I'm excited to share our results, which reflect the strength of our business model, consistent execution, the dedication of our team, and the growing demand of our career-focused healthcare education. Q3 was a record-breaking quarter for Legacy Education, with revenue soaring 50.7% year-over-year to $18.6 million, driven by a remarkable 70.7% increase in new student starts and a 49.8% growth in ending enrollment, reaching 3,245 students as of March 31, 2025. These results include the full quarter impact of our acquisition of Contra Costa Medical Career College, which added 468 students and expanded our footprint in high-demand healthcare markets. We also surpassed a significant milestone, exceeding 3,000 enrolled students as of January 31, 2025, a testament to our team's execution and the value of our program. Our focus on allied health education continues to resonate in a market hungry and desperate for skilled professionals. From nursing to diagnostic sonography, surgical technology to dental assisting, our programs are designated to meet employer needs, delivering graduates who are ready to fill critical workforce staff. Our overall nursing NCLEX pass rate is 83%. We have an average of 75% placement rate through our accreditor ACCET and a 76% placement rate through our accreditor ABHES. These just underscore the quality of our education and the success of our students. Operationally, we've made significant strides. We've expanded our hybrid learning models, leveraging advanced simulation technology to enhance training while increasing student flexibility. Our six campuses across California and Lancaster, Bakersfield, Temecula, Salinas, Pasadena, and Antioch are strategically located in areas with robust job growth and we're seeing strong enrollment trends across all locations. The integration of Contra Costa is progressing smoothly, unlocking new market opportunities, and we're actively evaluating additional acquisition targets and branch locations to further expand our geographic and programmatic reach. Financially, we delivered robust profitability with net income of $2.8 million or $0.21 per diluted share and an adjusted EBITDA of $3.9 million, up 60% year-over-year. Our balance sheet remains strong with $17.3 million in cash and $22 million in working capital, providing ample liquidity to fuel organic growth, invest in new programs, add branches, and pursue strategic acquisitions. Before I turn it over to Brandon for a deeper dive into the numbers, I want to thank our employees, our students, our shareholders, and partners. Your belief in our sector and commitment drives our mission to empower students and address the healthcare workforce shortage. With that, I'll hand it over to Brandon Pope, our CFO, to walk you through our financial performance. Brandon?
Brandon Pope : Thank you, LeeAnn. I'm pleased to report another quarter of exceptional financial performance, reflecting our strong operational execution and the scalability of our business model. Let's dive into the key metrics for Q3 fiscal ‘25 ended March 31, 2025, with comparison to Q3’24. The third quarter revenue reached $18.6 million, a 50.7% increase from $12.3 million last year. This growth was driven by a 49.8% increase in ending enrollment for 3,245 students and a 70.7% surge in new student starts from 719 to 1,227, including the impact of Contra Costa Medical College. Net income increased 57.1% to $2.8 million or $0.21 per diluted share, compared to $1.8 million or $0.19 per diluted share in Q3’24. EBITDA rose $3.8 million, and adjusted EBITDA, which excludes non-cash compensation, climbed 60% to $3.9 million from $2.4 million last year. Educational services were at $10.1 million or 54.4% of revenue, compared to $6.5 million, or 53.1% of revenue in Q3’24. The increase reflects investment in instructional staff, rent, externship fees, and our RN program to support enrollment growth. General and administrative expenses were $4.6 million or 24.9% of revenue, up from $3.3 million or 26.8% of revenue last year, driven by higher marketing, professional fees, and bad debt expense. Marketing expenses increased $1.2 million from $0.9 million, supporting our student acquisition efforts. For the nine months ended March 31, 2025, revenue grew 39% to $46.2 million from $33.2 million. Net income increased 51.9% to $6.3 million or $0.51 per diluted share, compared to $4.2 million or $0.43 per diluted share. EBITDA was $8.3 million, and adjusted EBITDA rose 54.2% to $8.6 million. These results reflect a 30.6% increase in new student starts at 2,473. Our liquidity remains robust at $17.3 million in cash and cash equivalents, and $22 million in working capital as of March 31, 2025. Total assets were $67.1 million, and stockholders' equity stood at $39.3 million. Capital expenditures for nine months were $0.8 million, primarily for campus enhancements and technology upgrades. We generated $4.7 million in net cash from operating activities, and our debt remains minimal at $1 million, positioning us well for future investments. I will now turn it back to LeeAnn for strategic outlook and closing remarks.
LeeAnn Rohmann: Thank you, Brandon. As we look ahead, Legacy Education is poised for continued momentum. Our strategic priorities remain clear, driving enrollment growth, expanding our program offerings, optimizing operational efficiency, and pursuing, branching and accretive acquisitions. On enrollment, we're enhancing our marketing reach and deepening partnerships with healthcare employers to sustain strong student starts. Our data-driven outreach strategies and compelling value proposition are resonating, as evidenced by our 70.7% increase in Q3 starts. We expect this trend to continue as we capitalize on the growing demand for healthcare professionals. Programmatically, we are adding existing programs to locations where there is high employer need, while we're also launching new offerings in high-demand fields, like sterile processing, surgical technician, and EMT, completing our existing portfolio. These programs align with employer needs and leverage our advanced simulation technology and externship network to ensure graduate success. Operationally, we're focused on cost optimization while investing in technology and faculty to enhance the student experience. Our hybrid learning model, supported by leading EdTech platforms, provides flexibility and scalability, positioning us to reach more students efficiently. Our growth expansion plans through branching and our M&A strategy remain the key growth drivers. The successful integration of Contra Costa demonstrates our ability to execute accretive acquisitions, and we're actively evaluating opportunities to expand our geographic footprint and program diversity. With $17.3 million in cash and strong cash flow, we have the flexibility to act decisively. Regulatory dynamics continue to evolve, but Legacy is well-positioned. Our focus on high-demand allied health careers, strong placement rates, and compliance with Title IV and accreditation standards gives us confidence. In navigating the environment, employers' urgent need for our graduates reinforces the stability and the relevance of our business model. As we move into the final quarter of fiscal 2025, we are energized by our progress and the opportunities ahead. We're committed to empowering students, delivering value to our shareholders, and solidifying Legacy Education as a leader in career-focused education. I want to turn it back over to the operator now to open up for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from a line of Mike Grondahl with Northland Security. Please proceed.
Mike Grondahl : Hey, thanks a lot, and LeeAnn and Brandon, congratulations on a really strong quarter. The quarter outperformance, can you talk a little bit about where that came from? Whether it was specific campuses or specific programs?
LeeAnn Rohmann: Hi, Mike. Great to hear from you. Absolutely! So, in this quarter, our top five programs remained strong in the medical assisting, the nursing, cardiac, UT, and MRI. We specifically in the third quarter really saw our ability to be able to add some additional nursing classes as well as some imaging classes. That led to just the fantastic quarter that we experienced.
Mike Grondahl : Got it. So, you would kind of say nursing and imaging is where a nice chunk of the upside came from?
LeeAnn Rohmann: Yes. It sure did.
Mike Grondahl : Got it. Roughly in those additional classes you created, ballpark how many students you were able to fill?
LeeAnn Rohmann: So, we added two additional classes in nursing, which led us to close to about 53 of those enrollments. And then in our imaging side, those cohorts, we set 20 at a time, and we added an additional cohort in the imaging of 20.
Mike Grondahl : Got it. That's great. April, May, any kind of early color on starts in that window?
LeeAnn Rohmann: Look at you. You just always want to like push the envelope, don't you?
Mike Grondahl : Of course, of course. You have a lot of momentum.
LeeAnn Rohmann:  What I would just remind all of you is that, like in terms of in our business and your model, is that we do have some – you know the seasonality. And we typically, our strongest quarters are the Q1 quarter and the Q3 quarter. Much like that you see Q2 and Q4, we do get impacted by seasonality.
Mike Grondahl : Sure, sure. And then, hey, one more from me LeeAnn and Brandon. CCMCC, it seems to be going really well. What does the acquisition pipeline look like? Are you working on anything, a couple of things?
LeeAnn Rohmann: We do have a couple of the acquisition pipeline in our M&A that we are, you know beyond just in conversations that we are looking at. But nothing more that we can really share at this time. But we definitely have a few that we are talking to.
Mike Grondahl : Talking to a few, sounds great. Well hey, congrats on a nice quarter.
LeeAnn Rohmann: Thank you.
Brandon Pope: Thank you.
Operator: Thank you. Our next question comes from the line of Jeffrey Cohen with Ladenburg Thalmann. Please proceed.
Jeffrey Cohen : Well, hi LeeAnn and hi Brandon. Thanks for taking our questions. I guess, firstly, I'm going to press a little on Mike's envelope with his questioning. Just reminding you that last year in 2024, your fourth quarter was actually slightly better than the third quarter on the top line. So, can you help us frame that and how we should expect Q4? I know the consensus is probably on the down quarter, but it appears to me that the pull through is pretty strong from this quarter reported March.
Brandon Pope: Yeah, we had a great – this is Brandon. I'm glad you're taking the call. Yeah, Q3 is impacted by several things. If you remember, Q2 was a very – 3% increase in starts only. Some of those starts came in, in Q3. Similarly, in Q4, some of those starts that would typically show up in Q4 showed up in Q3 this year, and so that enhances our robust start for Q3. Q4, similar seasonality, probably a little less than Q4 of last year.
Jeffrey Cohen : Okay, similar seasonality on a landing basis.
Brandon Pope: Yeah, yeah. You're going to see a different seasonality this year than we've seen typically based upon what I just mentioned. And it all depends on when the starts happen, in what quarter, and they typically happen, in what quarter. When a student, when the course ends, another one begins, those kinds of things impact seasonality. There's a general seasonality and there's more specific seasonality. We're going to see that general seasonality in Q4.
Jeffrey Cohen : Okay, got it. Program-wise, could you comment about the EMT program as far as number of campuses or number of classes that are existing now and duration and population size specific for our EMT?
LeeAnn Rohmann: Great. Sure. The EMT program right now is approved in our HDMC locations and so we have launched it in our Temecula campus right now only. It is a 12-week long course and we are teaching it primarily on the weekends. We are geared up to now roll it out among the rest of the HDMC campuses first, with quickly to follow in our Pasadena campus and Salinas campus. What we wait for here is not only do we need the state approvals, but we also need county approvals. And so as we are obtaining those county approvals, that's when we can start rolling those classes out in those locations where we have the approval.
Jeffrey Cohen : Super, that's helpful. LeeAnn, did you call out anything related to neuro or neurology as far as any classes that you offer, any programs there to-date?
LeeAnn Rohmann: No, not to-date. We are doing some research in those in terms of new programs, but we don't have any of those at this point.
Jeffrey Cohen : Okay. And it sounds like on the M&A front, similar status, that you'll keep us posted on anything that gets to some stage of telling us.
LeeAnn Rohmann: Yes.
Jeffrey Cohen : Okay, perfect. That does it for us. Fantastic quarter. Nice metrics.
LeeAnn Rohmann:  Thanks Jeff.
Brandon Pope: Thank you.
LeeAnn Rohmann:  Good to hear from you.
Operator: Thank you. As there are no further questions, I'll now turn the call back over to LeeAnn Rohmann for closing remarks.
LeeAnn Rohmann : Thank you, Operator, and thank you all for joining us today. As we reflect on our third quarter results, as I previously stated, I'm incredibly proud of what we've achieved, not just this quarter, but over the past 11 quarters of the double digit growth. This consistent performance underscores the strength of our strategy and the critical role we play in addressing the healthcare workforce shortage. At Legacy Education, we are more than just an educational institution. We're a catalyst for change, empowering students to build rewarding careers and helping employers meet their staffing needs with skilled professionals. Our commitment to excellence, innovation, and student success drives us forward. I'm confident that this momentum will continue as we pursue new opportunities, expand our programs, and explore strategic acquisitions. I want to express my deepest and sincere gratitude to our dedicated faculty and staff, whose hard work and passion make our success possible. To our students, thank you, thank you, thank you for choosing Legacy Education as your partner in achieving your dreams. And to our shareholders, thank you for your continued support and belief in our vision. We look forward to sharing more updates with you in the future and to continuing our journey of growth and impact. I hope you have a wonderful rest of the day and thank you again for being part of the Legacy Education story. Back to you, Operator.
Operator: This concludes today's Legacy Education, Third Quarter Fiscal 2025 Earnings Conference Call. Thank you for joining us and have a great day!